Operator: Good morning and welcome to the Celanese Third Quarter 2014 Earnings Conference Call. All participants will be in listen-only mode. (Operator Instructions). Please note this event is being recorded. I would now like to turn the conference over to Jon Puckett. Please go ahead, sir.
Jon Puckett: Thanks, Laura. Welcome to the Celanese Corporation third quarter 2014 conference call. My name is Jon Puckett, Vice President of Investor Relations. With me today are Mark Rohr, Chairman and Chief Executive Officer; and Chris Jensen, Senior Vice President, Finance. The Celanese Corporation third quarter 2014 earnings release was distributed via Business Wire yesterday after market close. The slides for the call and our prepared comments for the quarter were also posted on our website, www.celanese.com, in the Investor Relations section. As a reminder, some of the matters discussed today and included in our presentations may include forward-looking statements concerning, for example, Celanese Corporation’s future objectives and results. Please note the cautionary language contained in the posted slides. Also, some of the matters discussed and presented include references to non-GAAP financial measures. Explanations of these measures and reconciliations to the comparable GAAP measures are included on our website in the Investor Relations section under Financial Information. The earnings release, non-GAAP reconciliations, presentation and prepared comments have been submitted to the SEC in a current report on Form 8-K. This morning, we will begin with introductory comments from Mark Rohr, and then we will field your questions. I’d now like to turn the call over to Mark.
Mark Rohr: Thanks John, and good morning everyone. Our prepared remarks were released with the earnings, so I will keep my comments brief, then open the line for your questions. We had a really strong quarter with adjusted EPS of $1.61 per share, the highest in our history. Segment income margin expanded 300 260 basis point year-over-year driven by higher pricing in consumer specialties, industrial specialties and Acetyl Intermediates which more than offset higher raw material cost. On a sequential basis, segment income margin expanded 150 basis points, primarily due to higher price in industrial specialties and Acetyl Intermediates. These results drove record operating cash flow of $379 million, and free cash flow of $227 million, consolidated [ph] in return $139 million to shareholders and $39 million in dividends and $98 million in share repurchases. These are really great results and should help us deliver 2014 adjusted earnings that range from $5.55 to $5.65 per share or 23% to 26% growth over last year. We also made significant progress in our methanol unit in Clear Lake, Texas, and have provided you with our action plans, also headwinds as we move from purchase to self-produced methanol. Looking at the year ahead, we believe the customer focused approach in our materials business and commercial actions and our technology-enabled businesses will provide us appropriate opportunities to meet the challenges in 2015 like potential softness in the global economies, fewer industrial outages, and stronger dollar versus Euro. For 2015, our objectives are to deliver adjusted earnings that are consisting with our expected range for 2014. With that, I will now turn it over to Jon for Q&A.
Jon Puckett: Thanks, Mark. Laura, we’ll open up for questions. I’d like to just ask everybody to keep it to one question and one follow-up. So Laura, go ahead.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). And the first question will come from David Begleiter of Deutsche Bank.
David Begleiter – Deutsche Bank: Thank you, good morning. Mark, just – how are you thinking about the level of over earning in the segment in Q3 and what’s sustainable going forward at the Q4 and 2015?
Mark Rohr: Well, David, we – I commented on that in the last couple of calls, its – I guess it were also – clearly, the industry has reset to some degree. By that I mean there has been some material changes in trade flows around the world. Product is generally [indiscernible] in the past and there is more discipline in the market, particularly in China than we’ve seen historically. So there is a portion of this that we’ll be referring but to be honest we’re not really going to get sense on that until we get in that industry.
David Begleiter – Deutsche Bank: Great. And just in Hoechst [ph] in China, anymore thoughts on whether this business is plateauing there or peeking on this – in a long slow decline, demand wise?
Mark Rohr: Well I think we – if you look at from a volumetric basis David, we certainly believe that the business is generally peaking volumetrically. And we saw a step down in China early this year; it’s not recovered from that so we’ve kind of maintained this volume at this lower rate. I’m a little concerned about the Chinese economy because you see a lot of the cigarette purchases or the second tier brands that go to everyday man and woman, and right now those folks are struggling a bit. But right now our view is that we’re kind of – we are where we are, we’re going to be at this level for sometime. Rolling it back around, we do think there is excessive inventory in a few spots around the world and we’re trying to assess if some of that inventory comes off what the impact would be before that. But you shouldn’t take that if it occurs as has been in the case and there has been further drop in volume consumption.
David Begleiter – Deutsche Bank: Thank you very much.
Jon Puckett: Thanks, David. Laura, let’s move to the next question.
Operator: The next question comes from Laurence Alexander of Jefferies.
Laurence Alexander – Jefferies: Good morning. I guess first the $0.15 to $0.20 in restructuring savings that you flag, is that a year end run rate? And if not, what would that be?
Christopher Jensen: As you’re referring to the restructuring, we talk about the – anyways we’re – and European, is that what you mean specifically?
Laurence Alexander – Jefferies: Correct. So, is that just a tailwind in 2015 or is that an exit of the run rate pulling forward?
Christopher Jensen: Yes, I’m sorry. And I’m Chris, David – I mean Laurence, I thought you were referring to capital structure. It’s – you should look at that as the impact for next year. In the run rate going forward, I would hope we crippled it higher than that, that’s how you should look at that.
Laurence Alexander – Jefferies: Okay. And secondly, as you look at the outages that you’re anticipating for next year, how we’re those compared to this year?
Christopher Jensen: Well, corporately, we’re about the same. And the comment I made, the generic comment I mean on outages is that there were number – particularly on the human chemistry arena unscheduled or unplanned outages this year and I would expect there would be fewer of those next year and I can’t predict what that is but I would expect the industry operates more reliably next year than it has this year.
Laurence Alexander – Jefferies: Okay, thank you.
Christopher Jensen: Thanks, Laurence.
Jon Puckett: Thanks, Laurence. Laura, let’s move to the next.
Operator: Sure. Next we have John McNulty of Credit Suisse.
John McNulty – Credit Suisse: Yes, good morning. Thanks for taking my question. So when you gave color on your outlook for 2015, you highlighted a bunch of puts and takes, and I guess, I’m wondering when you’re thinking about the growth for AM and consumer, how are you thinking about that in terms of the growth rates in 2015 and how much of that will come from what you highlighted around the customer centric approach and some of the technology offerings that you’re offering versus just general market demand?
Mark Rohr: Yes, I think when you look at general market demand, I will talk more about materials and consumer but we’ve had really pretty good year of market growth this year, both in the U.S. and in Europe. And next year, we think that will be moderated, and having said that, we have a lot of new products in lot of new platforms, that will start to come to fruition, so we’re expecting good growth in new materials year-over-year driven by new products we put in there as we expect a good growth from our innovation products, things like the high voltage transmission line that we talked to you guys about recently. So we’re seeing – I view as pretty strong growth in the material segment on a year-over-year basis. In the consumer side, don’t really see any volume growth in that business, we do see other opportunities though to incrementally squeeze a little bit of increased profitability of that businesses as we enter into next year. On the AI side, I think it’s going to be – I need a little more clarity on what the rephrase [ph] is because I can really answer that directly but we have a lot of productivity related initiatives that will contribute to earnings growth in that business.
John McNulty – Credit Suisse: Great, thanks very much for the color.
Mark Rohr: Thanks, John. Okay, our next question Laura?
Operator: So the next question comes from PJ Jukvar [ph] of Citi.
Eric Petrie – Citi: Very good morning, its Eric Petrie in for PJ. If I could ask, what is the sensitivity to your $100 million purchase versus produced methanol if in 2015, if methanol prices stay closer to $400 per ton versus your $500 million to $600 million per ton assumption?
Christopher Jensen: When we talked about this being $100 million range, $75 million to $125 million, in 2015, that’s assuming methanol in a $500 million to $550 million range and natural gas in $425 million to $500 million range.
Eric Petrie – Citi: I might follow it offline. And then –
Mark Rohr: Go ahead.
Eric Petrie – Citi: I’m sorry…
Mark Rohr: I was going to say to answer your question with the $75 million to $125 million, methanol you want to push down to lower end of the range but like we’ve said, we don’t know where methanol is going to be when we step off of that contract. So that’s why we’re giving you the ranges, $75 million to $125 million.
Eric Petrie – Citi: Okay, so you’re saying $400 per ton would put you in that $75 million ballpark?
Mark Rohr: It puts you closer to that number than the $500 million to $600 million that we’ve assumed.
Eric Petrie – Citi: Okay. And then just on a longer term, of the three industrial ethanol MOUs, that you have outstanding which do you expect to press quicker or have less regulatory hurdles to get to reach to market?
Mark Rohr: You said methanol or ethanol, Eric?
Eric Petrie – Citi: The industrial ethanol MOUs that you have in Indonesia, China, India.
Mark Rohr: Yes, those are all fuel applications and it’s harder probably – I think China has got the toughest route [ph] because you got to change, you got to have pretty broad approach to change fuel regulations within China and so far that process hasn’t gained lot of traction. Indonesia was doing extremely well from a project point of view, it still seems to be endorsed by the government and the indications are the new government is also endorsing but we need to go through that change and leadership in Indonesia, including the new CEO from Pertamina. And so I think we’ll have better sense of that in our January fall. India is just getting started, the economics are very good in India, and in some ways the decision making process will be easy so, I’d say China is probably third and it’s too soon to tell which is more likely, India or Indonesia.
Eric Petrie – Citi: Okay, thank you.
Jon Puckett: Okay, thanks Eric. Laura, let’s go to the next question.
Operator: Yes, next we have Frank Mitsch of Wells Fargo.
Frank Mitsch – Wells Fargo: Good morning and congratulations on the record quarter.
Mark Rohr: Thanks, Frank.
Frank Mitsch – Wells Fargo: When you talked about 2015 and the productivity enhancement of $0.15 to $0.20, and you also mentioned that you’ve had some programs in place, what do you think those numbers would have been or will be for 2014, how much of the earnings improvement in 2014 would you ascribe to or productivity enhancements?
Mark Rohr: On a big scale we started two facilities in 2013 that rolled into 2014, and I’m kind of looking at a real start – that’s probably $0.20 or so kind of number Frank that rolled through, something like that.
Frank Mitsch – Wells Fargo: Like probably $20 million to $30 million?
Mark Rohr: We always have some productivity but to be very honest, this year was one of our weaker years in productivity. So I don’t think other than assume those two outages, the ones that I’m just too sure that was the one.
Frank Mitsch – Wells Fargo: Alright, that’s very helpful. And can you give me your sense of the status business in Europe in particular, and – what you’re seeing in the auto front and more broadly into the pace of activity over there?
Mark Rohr: It’s a good question. We all read the same press that you read, and you can’t help to get little bit of concern about it when you read it but I think what we would say is that our customers generally are lot calmer than the markets are. We have seen European auto slowdown, we’ve seen companies like Ford take extended outages and push out some products, so it is for reduction and consumption and the auto arena in Europe right now. The other businesses, the other areas here, I’d say it’s – nobody is, I mean nothing is falling off the cliff Frank, business is moving along, there is some talk of – we’ve seen some focus, kind of act like they are starting to consume and drop inventory, we view that the reduction in commodity prices will somehow ripple through. So we may see in this quarter some destocking that’s going on in Europe. And I’d say also we’re seeing some momentum for that in China just based on commodity prices I think more than anything.
Frank Mitsch – Wells Fargo: Sure. Thank you so much.
Mark Rohr: Thanks a lot.
Jon Puckett: Thanks, Frank. Laura, let’s go to the next caller.
Operator: Our next call, question comes from Kevin McCarthy of Bank of America Merrill Lynch.
Kevin McCarthy – Bank of America Merrill Lynch: Yes, good morning. Mark, I guess a question on consumer specialties; you proposed a price increase of 5% to 6% in mid-September. What if the customer reception then over the last five weeks or so? Also what is your view on the raw material side there going into 2015, just trying to get a sense of what margins might do versus the volumetric peak that you referenced.
Mark Rohr: Yes, we’re in the middle of that process now with our customers so it’s too early to call where we’ll end up on the pricing side. For us raw materials period-to-period are pretty constant, they maybe a little bit of drift down as we worked off some more expensive inventory year-over-year, we’re pretty confident. So I think from a margin point of view, I’d look at the margin has been reasonably flat and our consumer year-over-year.
Kevin McCarthy – Bank of America Merrill Lynch: Okay, great. And then the second question if I may on acetyl intermediates, you referenced the structural reset in Europe and I think some of your materials overnight also referenced different outages and I think within the last week or so your principle Western competitor declared forced measure at Holland and UK. If you take that into account what are your thoughts on the 4Q profitability in that segment, do you get perhaps an extension of the benefits with these ongoing industry outages?
Mark Rohr: Yes, I think there is probably little loose extension in that but we are seeing others take – there is more aggressive action in China and there is more destocking going, so don’t get handled on volumetric movements for the quarter. But I do expect our earnings period-to-period to be down materially in that segment.
Kevin McCarthy – Bank of America Merrill Lynch: Alright, thank you very much.
Mark Rohr: Thanks a lot.
Jon Puckett: Thanks Kevin, Laura lets go to the next.
Operator: The next question is from Bob Koort of Goldman Sachs.
Robert Koort – Goldman Sachs: Thank you, good morning.
Mark Rohr: Good morning.
Robert Koort – Goldman Sachs: I’m just wondering you mentioned the benefits from the pan European and productivity initiatives; can you talk about what the costs for that might be? And then also, if you made any headway in perhaps securing a fixed or long term gas contract for the Clear Lake plant?
Mark Rohr: Let me just lead on first and then I’ll turn over to Chris to talk about European structure but – we have started to take in a few positions for that incremented gas in the fourth quarter, I don’t know what percentage we are locked in now for that gas but probably half of it would probably locked so far but there are, Chris just told me. So we’re doing that as it makes sense at these kind of prices, Bob. Chris, you want to tackle the –
Christopher Jensen: Sure, principally Bob, there will be cost associated with that structuring going in Europe but as is typically the case when we have those kinds of transformational activities, that’s the kind of stuff we typically run through the adjustments and take out when we present just to the EBIT.
Robert Koort – Goldman Sachs: Okay and you mentioned in the prepared remarks using up to a million tons of methanol in the U.S., can you tell us the size of the contract and confirm that it expires at the end of June next year, that – the selling contract?
Christopher Jensen: It’s for million tones. Once we were contracting that full amount Bob.
Robert Koort – Goldman Sachs: Okay, thank you.
Christopher Jensen: Thanks.
Jon Puckett: Okay, thanks Bob. Laura, let’s move to the next.
Operator: Next is Vincent Andrews of Morgan Stanley.
Vincent Andrews – Morgan Stanley: Thanks very much. You guys had mentioned, I think on the last call, when you sort of were discussion what mitigance [ph] you might have to – 2015 headwinds, I think there was some discussion or maybe some tax optimization but you didn’t mention that today. So just curious is that something that’s still on the table or does it look at that and there is really not a whole lot of material to do there?
Christopher Jensen: Vincent, this is Chris. When we talk about the structuring, this pan European structure that we’re going through, that’s part of what will happen there is potentially some tax savings that come from that. And what’s really driving that is the desire to have a centralized European management structure similar to what we did a couple of years ago over in Asia. So prior to this plant we just – we really didn’t have that structure in place, we want that in place, this is an important region for us and we want a team of leaders there who have a real pulse on what’s going on in Europe that can run this thing day-to-day. But to answer your question there will be some tax savings that come as part of that.
Vincent Andrews – Morgan Stanley: It doesn’t sound like it’s a material change in the rate?
Christopher Jensen: Look, our tax rate should go down next year, and as we get closer to completion on the structure we can talk more about what it’s going to be into the tax rate but it will go down, it should go down below 20 next year.
Vincent Andrews – Morgan Stanley: Okay, thanks very much. I’ll pass it along.
Jon Puckett: Okay, thanks Vincent. Laura, let’s go to the next.
Operator: And the next question comes from Jeffrey Zekauskas of JP Morgan.
Jeffrey Zekauskas – JP Morgan: Hi, good morning.
Mark Rohr: Good morning, Jeff.
Jeffrey Zekauskas – JP Morgan: Hi, I have a question about Europe, I guess Slide 16; your CapEx, you said you’re lowering by $50 million to $400 to $450, wasn’t your CapEx through the first three quarters in the low force, if you count the CapEx because to them in new methanol plant?
Mark Rohr: Well, do you also – yes, Chris go ahead, you do some netting on the CapEx that goes into the methanol plant because we get some of that reversed by the – reimbursed by the joint venture. So our initial look on CapEx for the year, selling these CapEx was $4.50 to $5. And so what we’re saying now is that $4.50 to $5 really is more like $400 to $450. Just because of some productivity measures and some other measures and some spend outside of methanol and outside of the gas boilers [ph].
Christopher Jensen: Yes, I don’t have all the numbers in front of me to tail up those quarters but you can see that by taking a look in the filings that will put – I’m sure, they will tell you on top of my head those, yes, it’s a little bit waited in the fourth quarter, I mean, we’re have a little more CapEx in the fourth quarter than we had in the third quarter, the third quarter was little higher than what you saw in the first two quarters. And when you go through that make sure as John said in that – what you see coming in from our JV partner in mid [ph] on different line on those financials. But that’s the range now we’re talking $4 to $4.50 for the year.
Jeffrey Zekauskas – JP Morgan: Perhaps I can follow up with that. Are you making money currently in Chinese ethanol? I think Chinese ethanol prices, industrial ethanol prices per ton are somewhat over $1000 a ton, or is it more complicated than that?
Mark Rohr: No, no, it’s nothing more complicated than that. It’s just hard to answer that question directly but I would say, not in a material fashion that’s how we describe that. It’s not – the business is just kind of bouncing along Bob, we’ve knocked down away really to extract a lot of value of the industrial ethanol market in China today.
Jeffrey Zekauskas – JP Morgan: Okay, good. Thank you so much.
Mark Rohr: Thank you.
Jon Puckett: Thanks, Jeff. Laura, let’s go to the next question.
Operator: The next question will come from Hassan Ahmed of Alembic Global.
Hassan Ahmed – Alembic Global: Hello Mark, how are you?
Mark Rohr: Hello.
Hassan Ahmed – Alembic Global: A question around AI as it relates to your 2015 guidance. If I take a look at sort of EBITDA margins towards the end of 2013, they were running at 12% to 13%, and that’s obviously prior to a variety of these outages, and today they are closer to 20%. So how should we think about what you’re baking into 2015 guidance for this segment – is today’s margin profile more representative, is sort of – end of last year’s more representative or somewhere in between?
Mark Rohr: Yes, somewhere between and we’re doing that math ourselves and trying to sort out. There is – no doubt that those margins will pull back to some degree but I do want to be clear that that market is bit different today and there is more discipline in that market. So we’re trying to go through systematically and triangulate than what we believe a proper outlook for the year will be and we just haven’t got to that point yet. What I will say is that where we – we’ll do the range of potential step downs from where we are today, we’re seeing opportunities to offset that, so that’s why it gives us some comfort to go out and say that even though you’re going to have headwinds in methanol, even though you’re going to have headwinds from these sort of global economic scenarios that are out there and you’re going to have some headwinds as some of the tightness within the – see one change gets away, we think we can overcome these things and end up in an essence at that year end, and knew that we have to [ph].
Hassan Ahmed – Alembic Global: Fair enough. And, moving onto the methanol plant, very recently a methanol MLP in the U.S. talked about sort of jacking up the bottle making cost or budget by around 30% and kind of caught them by surprise, you know, if I read your sort of comments rightly, you were talking about how things are quite tight on the NC side of things but you are sticking to the original budget that you gave out. Now what gives you confidence that there will not be any slippage there or any sort of uptake in that budget? Is it something in the contract or –
Mark Rohr: No, no, no, there is no guarantee, I have confidence in the team and how we’re running that. We have unbelievable just a great team, we have great contractors, we’re engaged daily, under the activity – we’re just all over the project, we – I would say that we’re into it a bit certain than others and so we haven’t suffered from skill shortage today, we’re now in the mechanical portion which means we need lot of welders and that’s an area that is most concerned from our point of view right now and we have not only great contractors providing your people but we have some back options, those fail. I should let you know though it is a very close budget, I mean, we have – we measure the gaps down a percentage. So should we end up being a bit over, sure we could, but if I can advance today, start-up the day by day or two, I’ll spend the money to do that because the credit for shorting the period of time that we’re fully on the market is just huge for our company.
Hassan Ahmed – Alembic Global: Fair enough. And with this sort of an E&C market is that second methanol plant still looking feasible?
Mark Rohr: Yes, when you look at it – I mean, you can overreact or underreact, I guess the situation is we’re certainly are looking at the current kind of collapse and commodity pricing and maybe ripple effects of that and thinking our way through but the folks we’re talking to are still quite interested and we’ll have to make a decision to a couple of candidates as we get into November and we like to be in a position like spring to either have a project and another project. And even if we do it next spring, you’re talking a long time; we still have – even though we started the Permian process several months ago, that’s 18 months process now. So this is a start-up that will occur quite few years out.
Hassan Ahmed – Alembic Global: Fair enough, thanks so much Mark.
Mark Rohr: Thank you.
Jon Puckett: Thanks, Hassan. Laura, let’s move to the next question.
Operator: And our next question comes from James Sheehan of SunTrust.
James Sheehan – SunTrust: Thanks for taking my question. You’ve given a lot of color on the methanol headwind in North America. I was just wondering if you could comment on the Acetic Acid business in Asia and where you see pricing going next year in light of the drop in crude oil prices globally, do you see that as having an impact on your earnings in Asia. And do you have anything – any leverage you can pull there in terms of your strategic changes to your business model that can offset that, how you’re looking at the Asia market?
Mark Rohr: The Asia market margins throughout this year has been pretty good for those businesses, they are probably little weaker today than have been on the average as we’ve gone through the year, pricing has pulled back a little bit in China. So we may exceed some margin compression as we go into next year but what I would say is that the margins are materially different than they were back in the 2012, 2103, kind of timeframe, there is that market exchange we’ve seen, we’ve seen a step change there. So, I think our expectations are as far as little bit weakness in margins next year James, that’s how I capture that. In China, that everything is coal based, coal pricing, kind has the floor, it’s been slow for a while and its methanol based, and methanol kind has a floor, and there it’s been at that floor for a while. So there is no change in manufacturing costs, I think practically possible for Chinese producers.
James Sheehan – SunTrust: Thank you very much.
Mark Rohr: Thank you.
Jon Puckett: Thanks, Jim. Laura, let’s go to the next.
Operator: Next we have Edlain Rodriguez of UBS.
Edlain Rodriguez – UBS: Thank you. Good morning, guys.
Mark Rohr: Good morning, Edlain.
Edlain Rodriguez – UBS: Just one quick question on AEM, I mean this business has a lot of exposure to Europe and to auto, I mean, if there is a slowdown in Europe, can you talk about how this business is now better positioned than it was before and how results will be more vigilant than they were in previous challenging times that we’ve had in Europe?
Mark Rohr: Yes, let me try. I think all those about 40% of that business, maybe 50%, globally. And if you look at Europe, you got to kind of separate Germany from the rest of Europe. And what’s great about Germany is they build lot of the high end vehicles that are purchased by all of us around the world, and those higher end vehicles are big things for the kind of how we engineer materials that we sell. So we are seeing our ability to penetrate those vehicles continue to grow. And so that gives us comfort that even as we fall to an anticipated lower build in the Americas and lower builds in Europe that we’ll be okay. If you look at Asia, we have fairly low penetration in Asia; we have a good success now starting there, so we think there is a lot of growth upside in Asia. So my belief is, we really have mid-single digit growth in the auto segment in that business year-over-year. And when you go beyond that, in industrial spaces, in electronic spaces, consumer spaces, we have a lot of activity underway, and have seen some really good success with products and I mentioned one example of that which was the composite based high voltage wire that is starting to be strong in places like Houston, Texas, getting in great reviews from utility companies because it lets them lower their cost. So we have a view that things like that, that’s just one example, we’ll also come into some degree and start to lift this up more even if it falls a bit weak next year.
Edlain Rodriguez – UBS: Okay, thank you.
Mark Rohr: Thank you.
Jon Puckett: Thanks, Edlain. Let’s move to the next question Laura.
Operator: Next we have Neil Wallin of CLSA [ph].
Unidentified Analyst: Good morning, and thanks for taking my question. In AEM you had some pretty powerful volume growth over the last six quarters or so and you had – prices have been down year-over-year for the last five, I attribute that to mix, but I’m wondering if there is any way to reverse that or next year the comps will get better on the pricing side in that business?
Mark Rohr: Well part of it is mix and part of it is Asia. Asia generically it’s a lower priced market than some other parts of the world and that’s been a big thrust of ours to push into Asia. Do I see that change a lot year-over-year, no, I mean I think it’s going pretty constant year-over-year, what I do expect is that we can get more specification business and some of the higher end applications that – it would all set any increase penetration we may make in Asia in terms of pricing. So my gut [ph] would say pretty confident.
Unidentified Analyst: Got it, that makes sense. And then just on the volume declines in consumer specialties, obviously I know that there is destocking going on so it’s probably hard to get a sense of what the underlying volume levels are but do you – would you be able to quantify or give us some qualification as to what you see the underlying demand in that business being?
Mark Rohr: We’ve reported, the data – we belong to an association that collects data from all the producers, blind data, and producers represent annual trends, and I don’t have the annual trends, what I say in the middle of the year we pushed an indication too that we were down and in the – on the subject kind of basis in the 1% to 2% range, kind of number. And the biggest revelation out of that was not new news because we have been talking about it but it was more steep fall off in China. China had always been a contributor in terms of volume growth and this year they were going to be actually down year-over-year. So that’s the most contemporary data that we really have, what I will say is talking to customers, what we feel is that we’re in for a fairly flat consumptive view year-over-year, and the only wild card we have in here is inventory. And several years ago when industry was very tied, I would say that the majority that the consumers had built surplus inventory and it’s pretty clear to me now that they have been working out often, I think I was going to continue to through the end of this year, maybe early next year, I just can’t, I would love to tell you exactly where the details were but we don’t know, we’ll be able to give you more color in January.
Unidentified Analyst: I appreciate the color, thanks very much.
Mark Rohr: Thank you.
Jon Puckett: Okay, thanks Neil. And Laura, let’s move to the next caller and this will be the last question.
Operator: Okay. And that question will come from Mike Ritzenthaler of Piper Jaffrey.
Michael Ritzenthaler – Pipe Jaffray: Hi, good morning. As a quick follow up to a previous question about how the materials businesses might fill in for the difficult comps from the industry just impacts. How much do you view it as a series of singles from clear foil and expanding chorus versus driving auto penetration from two kilograms to two and a half kilograms, or whatever?
Mark Rohr: The history that business has been a single’s business and we’re trying to change that. Mike, we’re trying to make it more – what we call a translation business, where we’re going to have a success like we clear foil, the reason I used that example, we’re not selling a lot of clear film to free search [ph] today but when you look at the power that technology building the market that we’re taking successful products and moving them laterally in the marketplace and so that’s what – my personal belief is that’s where the real growth is going to be in industry. You see that a lot in auto, in particular, where our penetration varies dramatically from model to model, manufacturer to manufacturer, one region of the world to region of the world, and so our ability to take a success from one part of the world, and one particular car manufacturer to another is what I think is going to define our ability to dramatically build this business in years to come.
Michael Ritzenthaler – Pipe Jaffray: Okay, just real quick if I can speak one last one. Obviously one of the positives here in the last couple of quarters has been the impact of trade flows, I was wondering if there is a way to quantify the impact of currency in 4Q on those tradeflows in AI obviously?
Mark Rohr: I’m looking at Chris. What are the rules of [indiscernible].
Christopher Jensen: Yes, so it’s more than just the trade flows, so if you look at what drives currency impacts the part of it is that business and the fact that we don’t manufacture acetic acids or vamp [ph] in Europe, so that’s part of that Euro, so you get some currency there, you get some currency in the engineered materials business which is just a strong business for us in Europe even though we have local manufacturing, so we have high margins that just drops some currency impact on the bottom line. So – I don’t know that we have provided rules sometime in the past but it’s probably somewhere in the range of Euro/penny change equating to $600,000, $700,000, $800,000 in a quarter.
Michael Ritzenthaler – Pipe Jaffray: Okay. Alright, thanks guys.
Jon Puckett: Okay, thanks Mike, and thanks Laura. We’ll be wrapping for questions all day today. We appreciate your time this morning.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.